Operator: Good day and welcome to the Quanta Services' Fourth Quarter and Year-End 2015 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Kip Rupp. Please go ahead.
Kip A. Rupp - Vice President-Investor Relations: Thank you, Sabrina, and welcome, everyone, to Quanta's conference call to review fourth quarter and full-year 2015 results. Before I turn the call over to management, I have the normal housekeeping details to run through. If you would like to have Quanta news releases and other information e-mailed to you when they occur, please sign up for e-mail information alerts by going to the Investors and Media section of the Quanta Services website at quantaservices.com. You can also access Quanta's latest earnings releases and other investor materials such as press releases, SEC filings, presentations, videos, audiocasts, conference calls, and stock price information with the Quanta Services Investor Relations app, which is available for iPhone, iPad, and Android mobile devices for free at Apple's App Store and at Google Play. Additionally investors and others should note that while we announce material financial information and make other public disclosures of information regarding Quanta through SEC filings, press releases and public conference calls, we may also utilize social media to communicate this information. It's possible that the information we post on social media could be deemed material. Accordingly, we encourage investors and media and others interested in our company to follow Quanta and review the information we post on the social media channels listed on our website in the investors and media section. A replay of today's call will be available on Quanta's website at quantaservices.com. In addition, a telephonic recorded instant replay will be available for the next seven days, 24 hours a day, that can be accessed as set forth in the press release. Please remember that information reported on this call speaks only as of today, February 24, 2016. And therefore, you are advised that any time-sensitive information may no longer be accurate as of the time of any replay of this call. This conference call will include forward-looking statements intended to qualify under the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. These forward-looking statements include all statements reflecting Quanta's expectations, intentions, assumptions or beliefs about future events or performance, or that do not solely relate to historical or current facts. Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict or are beyond Quanta's control, and actual results may differ materially from those expressed or implied in any forward-looking statements. For additional information concerning some of the risks, uncertainties and assumptions that could affect Quanta's forward-looking statements, please refer to the company's Annual Report on Form 10-K for the year-ended December 31, 2014, and its other documents filed with the Securities and Exchange Commission, which may be obtained on Quanta's website or through the SEC's website at sec.gov. Management cautions that you should not place undue reliance on Quanta's forward-looking statements, and Quanta does not undertake and disclaims any obligation to update or revise any forward-looking statements based on new information, future events or otherwise, and disclaims any written or oral statements made by any third-party regarding the subject matter of this call. With that, I would now like to turn the call over to Mr. Jim O'Neil, Quanta's President and CEO. Jim?
James F. O'Neil - Chief Executive Officer and President: Thank you, Kip, and good morning, everyone. Welcome to the Quanta Services' fourth quarter and full-year 2015 earnings conference call. I will start the call with a strategic and operational overview before turning it over to Derrick Jensen, Quanta's Chief Financial Officer, who will provide a detailed review of our fourth quarter results. Following Derrick's comments we welcome your questions. Our fourth quarter results, excluding unusual financial items, met our expectations, which I believe set the positive tempo as we close out what was a challenging year for the company and the overall industry. Many of the challenges we faced in 2015 resulted from factors outside of our control; such as the collapse in oil prices, and in particular its effect on the Canadian economy, several severe weather events, project delays due to a challenging permitting environment and a sudden shift in small transmission market dynamics, all of which impacted our topline margins and profitability. However, there were things we should have done better. For example, the unusual occurrence of a significant project loss we incurred on the combined cycle gas power plant we are building in Alaska. That said, we've booked significant mainline pipe backlog in 2015 and expect additional mainline awards this year, which should be a catalyst for profitable growth for Quanta in 2016. As we transition from a challenging 2015 into 2016, I believe, it is an appropriate time to review our strategies for long-term growth and competitive differentiation as well as discuss the near-term and longer-term drivers of the markets we serve. Though our end markets are experiencing some near-term challenges that create uncertainty, we believe uncertainty creates opportunity and we are actively pursuing strategic initiatives that we believe will lay the groundwork for success in the upcoming years. A unique, but critical driver of Quanta's success is the decentralized and entrepreneurial business model that Quanta embraces. Since Quanta's IPO in 1998, we have completed nearly 200 acquisitions through which we acquired some of the best operators in our industries and strategically expanded into different geographies and service offerings. As a result, we believe, we have acquired the best entrepreneurial leadership and the largest skilled workforce in the markets we serve, which is the heartbeat of Quanta Services and the key to our ongoing success. The combination of acquisitions and organic growth has allowed us to build a company with a comprehensive breadth of self-performed infrastructure solutions that we believe is unmatched in our industry. More than ever before our customers are seeking comprehensive solutions, safe project execution and cost certainty. With our scope and scale, industry-leading safety record, consistent project performance, as well as the largest specialized workforce in our industry, we believe Quanta is uniquely positioned to serve the expanding needs of our customers. Another important differentiator is that we have significantly enhanced our engineering and project management capabilities to capitalize on market trends in our industry that we believe are shifting toward an engineering, procurement and construction or EPC model. Our strong balance sheet and cash flow generation, in addition to our operational capabilities gives our customers the confidence that we can support their expanding needs. As we look ahead to 2016 and beyond, our blueprint for success is three-fold. First, we must continue to exceed customer expectations in our core business. Delivering projects safely, on-time, and on budget. Second, we intend to leverage our core business to expand in the complementary adjacent service lines and selectively expand into new geographies. This broadens the solutions we can offer our customers, provides growth opportunities and achieves operational diversity. And third, we expect to continue to be opportunistic and explore new service lines, where we can acquire our leadership position and grow shareholder value over the long-term. Both organic initiatives and our acquisition program will continue to play an important role in achieving our long-term strategic growth objectives. Now, I'd like to provide some near-term and longer-term color on our end markets and our segment expectations for this year. Last year was challenging for our Electric Power segment, and we expect some of those market headwinds to carry over into 2016. As a result, we expect Electric Power segment revenues may decline by low single digits in 2016 versus 2015. We will anticipate continued growth in sub-transmission and distribution work this year. We expect our volume of large transmission revenues to decline in 2016, particularly compared to the first half of 2015 as large project activity was fairly robust at that time. However, we believe large transmission project delays due to regulatory and permitting headwinds are temporary and that growth could resume in the second half of 2016, although timing is uncertain. That said, we continue to have a positive multiyear outlook for the large transmission market, based on the projects we have in backlog, as well as future opportunities we're aware of and pursuing today. With the exception of 2015, our Electric segment operating income margins have exceeded 10% in every year since 2008. Our 2016 guidance contemplates a range between 8% and 9% to reflect the current market challenges. We remain focused on returning this segment to historical operating income margin levels of at least 10%. We are in a complex fluid environment, where some of our markets are growing at record levels, while others are going through challenges. We are proactively addressing these challenges by adjusting our cost structure where appropriate, by making head count reductions and by shifting equipment and facility strategies to adjust to the current market environment. This management team is committed to returning margins to historical levels. However, we are mindful not to compromise our core capabilities. We remain ready to capitalize on the larger, more complex transmission opportunities that we are pursuing. That said, the end market drivers that underpin our positive multiyear outlook remain firmly in place. The North America power grid continues to age and reliability challenges continues to increase, despite the increased capital deployed into transmission and distribution upgrades during this decade. To that end, the C3 Group, an independent energy infrastructure and utility research organization estimates that $25 billion to $30 billion will be spent on transmission annually in North America through 2020. Despite the Supreme Court's recent ruling to stay the EPA's Clean Power Plan, the North America power grid generation mix continues to shift away from coal to more natural gas and renewables and new technologies are being deployed creating a more advanced power grid, all of which require great expansions and enhancements. As a result, many of our key customers have robust capital programs underway focused on upgrading and expanding transmission and distribution infrastructure in the coming years. Another longer-term driver of electric transmission is FERC Order 1000, though we did not expect the project delays resulting from our customers' adaptation to this newer regulation, we believe this is a short-term dynamic and expect FERC Order 1000 to drive significant incremental electric transmission investment in the future. We believe some of FERC Order 1000 transmission projects could be larger in scope and scale than what the industry has experienced over the past several years; but as we have stated in the past, we do not believe these programs will move to construction in a meaningful way until at least 2017. However, we have a strong base of large transmission projects in our backlog. The combined aggregate contract value of the Labrador Island Link HVdc transmission project and the Fort McMurray West transmission project alone is approximately $1.5 billion. At year-end, the Labrador Island Link HVdc transmission project was approximately 22% complete, and the Fort McMurray West transmission project isn't expected to start construction until 2017 and should finish in 2019. We also have numerous strategic alliances with several customers that have robust multiyear electric transmission investment programs. We believe our Oil and Gas segment outlook is also promising, as momentum continues to build, driven primarily by mainline and natural gas distribution and integrity markets. The mainline market is a very active environment and we expect significant mainline construction activity this year. So far in the first quarter we have either signed contracts or in the final stages of negotiations on approximately $400 million of additional mainline projects. We currently have two mainline projects both in Canada that commence construction late in the fourth quarter and we expect a significant number of mainline projects to begin constructions over the next several quarters. We expect most of the mainline activity over the next several years will be related to natural gas pipeline projects, driven primarily by coal to gas power generation switching and increasing demand from commercial and residential customers due to the low price and abundance of natural gas. The natural gas mainline programs fall under FERC jurisdiction and therefore many have had fewer state permitting issues and approval delays. We have observed permitting delays on several oil mainline projects. We recently had one project delayed indefinitely due to state permitting issues and we have subsequently removed this project from our year-end backlog. While an extended period of low oil prices could create challenges to mainline pipe projects, it is important to note that the delays we are seeing for oil mainline projects are predominantly due to extended state approval processes and not low oil prices. We continue to attract billions of dollars of additional mainline pipe projects and we now expect more project activity in 2017 and 2018 than we did previously. We are working with several key customers to ensure that they have adequate resources to accomplish their capital program objectives, and we will remain disciplined on pricing and contract terms. With respect to other key services we provide in the Oil and Gas Infrastructure Services segment, Pipeline and Hazardous Materials Safety Administration regulations should continue to drive opportunities in the natural gas distribution market as customer integrity programs continue to accelerate. Many of our customers are seeking expanded service offerings, where we can provide program management and construction capabilities over larger replacement programs. We have expanded our customer footprint in both Canada and the United States because of this and expect growth opportunities to continue for the next several years. We continue to expect challenges in areas of our business that are sensitive to the current low oil price environment, primarily in Australia, the Canadian oil sands and our offshore Gulf of Mexico operations. That said, we expect any incremental softness in these areas to be more than offset by the growth in mainline revenues this year and beyond. As a result of these growth opportunities, we believe our Oil and Gas segment revenues can grow in the low-teens to mid-teens range this year. Margins in our Oil and Gas segment have improved each year since 2007 with the exception of 2015. On our past conference calls, we have communicated to you that the proper complement of mainline pipe work and solid execution, we believe this segment should operate in the 9% to 12% operating income range, which we still believe to be true. However, our 2016 guidance reflects an operating income margin range for this segment of 5.5% to 7%. Several factors led us to project margins below the 9% operating range for this segment this year. First, the volume of midstream gathering work is forecasted to be down significantly this year, due to the reduced rig count in North America, a prolonged oil price environment and bottlenecks with moving natural gas from the Marcellus and Utica shales due to the lack of takeaway infrastructure are the primary cause. Midstream gathering work has been a recurring revenue base that augmented our mainline pipe workforce, while mainline activities were at low levels. Until our mainline pipe projects ramp into construction, we forecast that near-term segment margins could be pressured. Second, if mainline projects ramp up is expected this year, we will mobilize multiple spreads consisting of several thousand people and a complement of equipment in a very short period of time. We are being prudent with our margin expectations until these projects transitions, and are in full construction. Finally, while we expect our operations that are impacted by the low price of oil to be profitable this year, it will be difficult for these businesses to generate margins higher than mid-single-digits, which will affect our overall segment margins. We're aggressively taking steps to right size these operations to operate profitably in the current environment, which will be an ongoing process. As a result, we anticipate taking a $3 million to $4 million restructuring charge in the first quarter, which we have included in our 2016 guidance. In summary, while we have experienced challenges in 2015, we expect profitable growth in 2016. Largely from contributions from mainline pipe construction and the non-recurrence of the meaningful project losses we have in 2015. We believe the current dynamics impacting the Electric Power segment are short-term and we have significant projects in backlog and are also working with several customers on future large transmission project opportunities that will play out over a multiyear period. During my 17 years here at Quanta, I have been through several market down cycles and in each situation – whether the telecom meltdown in 2001 and 2002, or the financial crisis in 2008 to 2009, Quanta has emerged to stronger better company with improved competitive position within the industry. I expect the same result as we move through our current industry challenges. We continue to execute on strategies that position Quanta for both near-term and long-term growth and we are confident in our abilities to continue to deliver the customer-driven solutions that have made us the industry leader. As we close out 2015 with this call, I want to thank our employees, who I believe are the very best in the industry and are the primary reason we consistently differentiate ourselves from our competitors in an ever-changing market environment. With that, I'll turn the call over to Derrick Jensen, our CFO, for his review for our financial results. Derrick?
Derrick A. Jensen - Chief Financial Officer: Thanks, Jim, and good morning, everyone. Today, we announced revenues of $1.9 billion for the fourth quarter of 2015 compared to $2.03 billion in the prior year's fourth quarter. Net loss from continuing operations attributable to common stock was $2.6 million or a loss of $0.02 per diluted share. These results compared to net income from continuing operations attributable to common stock of $60.4 million or $0.27 per diluted share in the fourth quarter of 2014. Adjusted diluted earnings per share from continuing operations, as presented in today's press release, was $0.30 for the fourth quarter of 2015 as compared to $0.48 for the fourth quarter of 2014. Our fourth quarter results were impacted by approximately $0.25 per diluted share of net impairment charges. These charges included asset impairments of $58.5 million or $0.27 per diluted share, primarily associated with goodwill and intangible asset impairment charges associated with lower forecasted oil and gas services revenues for our Gulf of Mexico operations and certain Australian operations, due to the extended low commodity price environment. These charges were partially offset by tax benefits of $4.2 million or $0.02 per diluted share, associated with the realization of a previously unrecognized deferred tax assets related to our investment in a foreign subsidiary. Also, net income from continuing operations attributable to common stock for the fourth quarter of 2014 was negatively impacted by a $30.3 million net of tax charge, or $0.14 per diluted share for a provision for long-term contract receivable associated with change orders on a 2012 electric power transmission project that were ultimately settled earlier this year. Net loss attributable to common stock for the fourth quarter of 2015 was $5.1 million, or a $0.03 loss per diluted share. This compares to net income attributable to common stock of $66.6 million, or $0.30 per diluted share in the fourth quarter of 2014. The decrease in consolidated revenues in the fourth quarter of 2015, as compared to the same quarter of last year was primarily due to a decrease in revenues from our large electric transmission and mainline projects, which were adversely impacted by reduced customer spending and delays in project timing due to regulatory and permitting issues. In addition, consolidated revenues were negatively impacted by approximately 2.5%, when compared to the fourth quarter of 2014, when quantifying the estimated impact of changes in foreign exchange rates between the quarters. Partially offsetting these decreases was the favorable impact of approximately $70 million in revenues generated by acquired companies, primarily in our Oil and Gas Infrastructure segment. Our consolidated gross margin was 11.7% in the fourth quarter of 2015, as compared to 15.4% in the fourth quarter of 2014. This decrease was primarily a result of the negative impact of lower revenues from mainline and large electric transmission projects, both of which typically carry higher margins than certain other types of projects. Also impacting our gross margin for the quarter was $19.3 million of incremental project losses related to a power plant project in Alaska, which is expected to be completed in mid-2016. These incremental costs on the project were largely due to differences in build requirements versus the original engineering and we are pursuing specific engineering claims to recover a portion of these costs. However, the benefit of potential recovery on these claims has not yet been reflected in our estimates as of year-end. Selling, general and administrative expenses, as presented in this quarter's earnings release, were $151.8 million in the fourth quarter of 2015, reflecting a decrease of $3.2 million as compared to the fourth quarter of 2014. This decrease is primarily due to $6 million in lower salaries and benefits costs associated with the level of operations in 2015, partially offset by $3.5 million in higher professional fees. Selling, general and administrative expenses, as presented in this release, as a percentage of revenues, were 8% in the fourth quarter of 2015, as compared to 7.6% in the fourth quarter of 2014. This increase was primarily attributable to the decline in revenues and its negative impact on the absorption of consolidated overhead costs. To further discuss our segment results, Electric Power segment revenues were $1.29 billion, reflecting a decrease of $72.6 million quarter-over-quarter or approximately 5.3%. Lower revenues were a result of reduced customer spending and delays in projects due to regulatory and permitting issues associated with large electric transmission projects. Foreign currency exchange rates also negatively impacted revenues in this segment by approximately $31 million for the fourth quarter of 2015. These negative factors were partially offset by the contribution of approximately $25 million in revenues from acquired companies, as well as increased activities from smaller transmission and distribution projects. Operating margin in the Electric Power segment decreased slightly to 6.8% in the fourth quarter of 2015 as compared to 7.4% in last year's fourth quarter. The decrease in margin was primarily due to the previously mentioned incremental loss recorded during the quarter on the power plant project, lower revenues from higher-margin large electric transmission projects, as well as a $6.6 million property and equipment impairment charge related to certain international renewable energy services operations. Although these items negatively impacted the operating margins for 4Q 2015 for comparative purposes, the fourth quarter 2014 was also impacted by the previously mentioned charge to a provision for long-term contract receivables. As of December 31, 2015, 12-month backlog for the Electric Power segment decreased 2.3%, and total backlog increased 1.2% when compared to September 30, 2015. The decrease in 12-month backlog was primarily due to burn on existing projects along with a negative impact from changes in foreign currency exchange rates. Total backlog increased due to the inclusion of two Latin American telecom concession awards, as well as the estimated contribution to total backlog for the renewal of certain MSAs slightly offset by the impact of foreign currency exchange rates. Oil and Gas segment revenues decreased quarter-over-quarter by $55.8 million, or 8.4% to $607.8 million in 4Q 2015. This decrease was primarily due to the timing of when large mainline projects move to construction as well as reduced demand for certain of our oil and gas services due to lower oil prices and their impact on customer spending. Also, changes in foreign currency translation rates negatively impacted revenues contributed by our international operations in this segment by approximately $19 million. Partially offsetting these decreases were revenue contributions of approximately $45 million from acquired companies as well as increased revenues from distribution services. Operating income for the Oil and Gas segment, as a percentage of revenues, decreased to 3.9% in 4Q 2015 from 8.1% in 4Q 2014. This decrease in operating income is primarily due to a decline in mainline revenues, which typically yield higher margins as well as lower margins on those mainline projects actually under construction due to typical project variability. Also contributing to this decrease was lower demand for services associated with certain operations as a result of lower oil prices and permitting delays, which negatively impacted this segment's ability to cover fixed costs. 12-month backlog for the Oil and Gas Infrastructure Services segment decreased by $184.7 million, or 8.9%, and total backlog decreased to $336.9 million or 9.9%, when compared to September 30, 2015. These decreases were due to the removal of a mainline project from year-end backlog that Jim referenced in his prepared comments, burn on existing contracts, as well as the impact of foreign currency exchange rates between the periods. Corporate and unallocated costs increased $51.5 million in the fourth quarter of 2015 as compared to 4Q 2014, as a result of the $51.9 million charge associated with the previously mentioned goodwill and intangible asset impairments. Cash flows from operating activities of continuing operations for the year-ended December 31, 2015 provided approximately $618.2 million and net capital expenditures were approximately $183.8 million resulting in approximately $434.4 million of free cash flow as compared to free cash flow of approximately $15 million for the year-ended December 31, 2014. The increase in cash flows from operating activities from continuing operations was partially due to decreased working capital requirements associated with a decrease in the number of large electric transmission jobs ramping up this year, as compared to last year; the receipt of approximately $87 million in a project prepayment for a project with production beginning in 2015; and the receipt of a $65 million cash payment for the Sunrise Powerlink project receivable in the first quarter of 2015. Also, cash flows related to discontinued operations for the fourth quarter of 2015 were negatively impacted by a payment of approximately $134 million associated with taxes payable from the gain on the sale of Sunesys. DSOs were 75 days at December 31, 2015 compared to 85 days at September 30, 2015 and 84 days at December 31, 2014. This decrease is primarily due to the impact at December 31, 2015 of the inclusion of the $87 million project prepayment discussed previously and strong collections in the fourth quarter of 2015. DSOs at December 31, 2014 were negatively impacted by the inclusion of the $65 million Sunrise Powerlink project receivable and the impact of acquisition and working capital balances late in the fourth quarter of 2014, for which there were no material corresponding fourth quarter revenues. Investing cash flows during the fourth quarter of 2015 were impacted by aggregate cash consideration paid of approximately $9 million, net of cash acquired, related to the closing of one acquisition in Canada during the quarter. Financing cash flows during the fourth quarter of 2015 came from net borrowings of $131.3 million under our credit facility, partially used to fund the repurchase of 3.6 million shares of our common stock for approximately $76.8 million. To recap our share repurchase activity, we repurchased a total of 59.3 million shares for a value of approximately $1.46 billion during the year-ended December 31, 2015. We've also paid $150 million under an accelerated share repurchase arrangement, the ASR, entered into on August 10, 2015 for shares expected to be delivered upon final settlement of the ASR in April of this year. At December 31, 2015, we had approximately $128.8 million in cash. At the end of the year, we had about $307 million in letters of credit and bank guarantees outstanding to secure our casualty insurance program and other contractual commitments, and we have $466.9 million of borrowings outstanding under our credit facility. As previously announced, we increased our credit facility in December 2015 to $1.81 billion and extended the maturity to December 2020. Favorable market conditions allowed us to maintain competitive pricing and structure, including increased capacity to fund operations outside of the U.S. As such, we opportunistically amended the credit facility with the increasing commitments providing for approximately $1.16 billion of liquidity, as of December 31, 2015. Turning to guidance. Throughout 2015, we have evaluated whether or not providing quarterly earnings guidance is beneficial, given the short-term volatility that can occur due to the variability in project timing and other impact factors that impact earnings from period to period. As we move into 2016, we will only provide annual guidance and will adjust our expectations as we move through the year. For the year-ended 2016, we expect consolidated revenues to range between $7.5 billion and $8 billion. This range contemplates Electric Power segment revenues ranging from a decline of around 5% at the low-end of our guidance to year-over-year revenues in the segment remaining flat at the high-end of our estimates, with the remaining difference in revenues coming from growth in Oil and Gas segment. As it relates to seasonality, I would generally assume usual seasonality through the year, with the first quarter being the lowest with respect to revenues and margins. We would expect revenue and margin improvement sequentially in the second quarter; and again in the third quarter, with the third quarter being the strongest quarter of the year. I would assume revenues and margins in the fourth quarter fall somewhere between the second quarter and third quarter. Of note, we expect a more pronounced difference between the quarters of 2016 than we have experienced in recent years. The slowing of the Canadian economy, reduced activity in the Canadian oil sands and the timing of project starts has reduced the seasonal offsets or flattening that Canadian revenues have provided in the first quarter and second quarter over the past few years. This, coupled with lower and large electric transmission and mainline project revenues compared to the first quarter of last year causes us to estimate that our first quarter revenues could potentially decline up to 10%. On the other hand, we expect a sizable ramp in revenues in the third quarter as we expect a significant number of mainline projects to begin moving to construction in the second and third quarters of this year. For 2016, we believe margins will continue to be at levels lower than our historical expectations with Electric Power somewhere in the 8% to 9% range, and Oil and Gas margins between 5.5% and 7%. Jim commented in his prepared remarks, as to the primary factors affecting these margin estimates. In addition, largely due to ramp in revenues, I spoke of earlier, we expect margins to reflect a fair degree of seasonality with a more pronounced effect through the year in oil and gas, due largely due to the timing of mainline projects starts. Our markets remain in a fluid environment with some areas of our business growing and others having challenges. As it relates to recent actions taken by management to improve margins, we've made head count adjustments at our corporate office as well as various operating units, as further evidenced by the restructuring costs associated with our offshore operations expected in the first quarter. The shutdown of our Middle East operations, which led to the fourth quarter tax benefit, as well as the rightsizing of our international operations, which included the impairment of certain renewable energy assets in the fourth quarter. These are just a few examples of our focus on adjusting the business to return margins to our target levels. We would estimate that interest expense will be between $15 million and $20 million for 2016 and are currently projecting our GAAP tax rate for 2016 to be between 36.5% and 37.5%. Also our annual 2016 guidance reflects the current foreign exchange rate environment, continuing movement of foreign exchange rates in the future could make comparisons to prior periods difficult and cause actual financial results to differ from guidance. For purposes of calculated diluted earnings per share for the 12 months ended 2016, we are assuming 156.5 million weighted average shares outstanding. Our estimates include a projective reduction of approximately 10 million shares in April of 2016, which is the estimated settlement date of the ASR program and when final settlement of the required shares to be delivered is anticipated to take place. There are many factors that can influence our estimate of the final number of shares anticipated to be delivered under the ASR program, including an auction and further fluctuations in the stock price. We currently anticipate GAAP diluted earnings per share from continuing operations for the year to be between $1.30 and $1.50 and anticipate non-GAAP diluted earnings per share from continuing operations to be between $1.58 and $1.78. Our forecasted non-GAAP measures are estimated on a basis similar to the calculations of historical adjusted diluted earnings per share from continuing operations presented in our release. CapEx for all 2016 should be approximately $200 million to $220 million, this compares to CapEx for all of 2015 of $210 million. Despite the challenges we experienced in 2015, we have several significant accomplishments that financially position us well for the future. The sale of our fiber optic licensing operations unlocked significant value and generated significant after-tax proceeds. Along with these proceeds, we utilized record free cash flow and availability under our credit facility to repurchase nearly $1.5 billion of our common stock in 2015 and an additional $150 million has been paid under the ASR, which effectively recapitalize our balance sheet and improved our cost of capital. In addition, we increased the capacity and extended the maturity date of our senior secured revolving credit facility, increasing liquidity to assist in achieving strategic objectives that we believe will continue to generate shareholder value. We closed 11 acquisitions during 2015 for an aggregate consideration consisting of $110.4 million in cash and $10.1 million in securities, which enhance our Electric Power and Oil and Gas Infrastructure Service capabilities. We expect to continue to maintain our strong balance sheet and financial flexibility and be positioned for continued internal growth and to execute on strategic initiatives. Overall, our capital priorities remain the same with the focus on ensuring adequate resources for working capital and capital expenditure growth and an opportunistic approach towards acquisitions, investments and the repurchase of Quanta stock. This concludes our formal presentation. And we'll now open the line for Q&A. Operator?
Operator: Thank you. We'll now take the first question from Dan Mannes from Avondale Partners. Please go ahead.
Daniel Mannes - Avondale Partners LLC: Hello. Can you hear me?
James F. O'Neil - Chief Executive Officer and President: Yeah, good morning, Dan.
Daniel Mannes - Avondale Partners LLC: Great. The first question relates to backlog in the Oil and Gas segment. Backlog obviously down sequential, if I rewind to the Q3 call, you guys talked about $1 billion worth of mainline opportunities that were in discussions. Now, you're talking about $400 million in backlog is down, so I'm wondering either did something – how material was the project that you removed alternatively were some of the things you were negotiating before they have been pushed out?
James F. O'Neil - Chief Executive Officer and President: I would characterize the environment, Dan, continues to be robust. There's still billions of dollars of pipe mainline opportunities that are out there that we're bidding. The project that we removed from backlog was sizable. I'm not going to quantify it, but it was a sizable project. And that did impact the fourth quarter backlog decline obviously in oil and gas. But with that said, I think it's just a short-term dynamic and I think backlog in that segment and quite frankly in both segments will continue to be strong going forward. We're going to have some seasonality baked in and some fluctuations that do occur, but some of the contracts are taking a little bit longer to negotiate, but we do expect the mainline backlog to continue to increase over time.
Daniel Mannes - Avondale Partners LLC: Got it. And then just switching over to the Electric segment, you talked about – maybe hope for an improvement in the second half. Is that based on large projects actually moving into construction in the second half? Or is that more a better bidding environment in the second half of 2016 on large projects leading to revenue in 2017?
James F. O'Neil - Chief Executive Officer and President: It's a little bit of both, Dan. We do expect to see more large project activity as we move into the second half of this year. We anticipate that. Although our visibility still isn't crystal clear. But, we do expect both backlog – the margin environment to improve and backlog – opportunities for backlog in large projects to improve as well.
Daniel Mannes - Avondale Partners LLC: Sounds good. Thanks for the color.
Operator: Okay. We'll now take the following question from Tahira Afzal from KeyBanc Capital Markets. Please go ahead.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Thank you and congrats on a good quarter in a difficult environment.
James F. O'Neil - Chief Executive Officer and President: Thank you, Tahira.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Jim, first question is, can you give us an idea of how much you're expecting the shale business to fall-off. We are estimating in the model that we built for you something fairly dramatic. I would love to get a sense to just see how conservative or how balanced you're being there?
James F. O'Neil - Chief Executive Officer and President: Most of our shale activity was in the Northeast in the Marcellus and in the Utica. The problem is, because the gas is trapped there is not enough takeaway capacity. There have been fewer wells being drilled, because they can't get the gas out. And so, subsequently there is less gathering work to be done. I do think that problem will take care of itself, once we start building takeaway capacity. But, we are expecting levels of gathering to be down significantly this year compared to what we've seen in the past few years. I would guess probably half the volume. But, the segment revenues should still grow, because we do think our LDC markets and our mainline markets will grow and make-up for that downturn. But, it does create some volatility and earnings in particular, when you haven't ramped up significantly in mainline...
Tahira Afzal - KeyBanc Capital Markets, Inc.: Right.
James F. O'Neil - Chief Executive Officer and President: ...so we were using – that was a good stable baseline of work that we were doing on gathering that was recurring revenue year-round. That's now at a lower level. So, it's going to have some impact on margins until we ramp-up on mainline in a meaningful way.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it, okay. And then on the transmission side Jim, you know, the optimism again and maybe I'm asking same question as Dan in a sense. But the ramp you expect potentially in the second half, let's say you don't see it. What would the variations from your current forecast be, if you assume no ramp, or no new large projects in the second half?
James F. O'Neil - Chief Executive Officer and President: Well, let me just be clear, we have very little uncommitted for large transmission projects at the midpoint of our guidance.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Perfect.
James F. O'Neil - Chief Executive Officer and President: So, I mean, I think that's enough said there. I mean, I don't think we're getting too optimistic in our transmission forecast. When we say we expect it to ramp, qualitatively, that really isn't baked in at the midpoint of our guidance, because I don't have the visibility. If it does begin to ramp in, we do better than we expect. It'd be more toward the upper end of our guidance, but we're not betting on it right now...
Tahira Afzal - KeyBanc Capital Markets, Inc.: Perfect.
James F. O'Neil - Chief Executive Officer and President: ...because of our past history and trying to predict transmission. It's just difficult with the permitting challenges and so forth at this point in time to try to predict what's going to happen in the second half of the year.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay. That's helpful. And then Derrick congrats again, Jim.
James F. O'Neil - Chief Executive Officer and President: Okay. Thanks, Tahira.
Operator: Thank you. Ladies and gentlemen, please limit yourself to asking one question. The next question will come from Matt Duncan from Stephens, Inc. Please go ahead.
Matt Duncan - Stephens, Inc.: Hey, good morning, guys.
James F. O'Neil - Chief Executive Officer and President: Morning, Matt.
Matt Duncan - Stephens, Inc.: So, Jim, the first question, I want to go back to the question about the project that was taken at backlog. I appreciate you guys don't want to size that for obvious reasons. So, let me ask you a little bit differently, would that segment's backlog has been down, had you not remove that project?
James F. O'Neil - Chief Executive Officer and President: Yes. It would have been down.
Matt Duncan - Stephens, Inc.: Okay. And then in terms of the funding constraints that we're all hearing and seeing on the MLP side, can you quantify the impact on you guys that you're anticipating within your guidance from some of the funding issues that may crop up in that midstream segment?
James F. O'Neil - Chief Executive Officer and President: Yeah. I don't know if it's necessarily a funding issue. I think that the low price of oil has obviously been a headwind to – there is not as many wells being drilled. I mean, the rig count is down 75% throughout North America. And we've taken that into account on our guidance that we'll be doing less gathering going forward.
Matt Duncan - Stephens, Inc.: Okay.
James F. O'Neil - Chief Executive Officer and President: Matt, maybe, you should re-ask the question. I just didn't – I don't understand when you say funding.
Matt Duncan - Stephens, Inc.: Well, I mean, there is – the potential at MLP is just not going to have the money to spend. So...
James F. O'Neil - Chief Executive Officer and President: I see.
Matt Duncan - Stephens, Inc.: ...if you have money to spend on this kind of stuff, how much are you...
James F. O'Neil - Chief Executive Officer and President: Yeah. Yeah. Yeah.
Matt Duncan - Stephens, Inc.: (46:54)?
James F. O'Neil - Chief Executive Officer and President: No, I understand. I think we've baked that in. I mean, obviously, that's something we're watching very closely. And most of our customers fortunately are well capitalized that have committed contracts, and these are larger pipeline players. But, no, that is certainly something that we are watching – credit risk on some of the MLPs – and we have certainly baked that into our guidance.
Matt Duncan - Stephens, Inc.: Okay.
James F. O'Neil - Chief Executive Officer and President: Thank you for that clarification.
Matt Duncan - Stephens, Inc.: And then a last thing, and I'll hop back into queue. Just on the Oil and Gas segment margin guide, I mean, you normally anticipate 9% to 12% there. Mainline work is the highest margin work you do there. That's the piece that's growing. Yet, the margin guide is 5.5% to 7%. So, I'm trying to better understand the drag on segment margins from the underutilization of people in other parts of your Oil and Gas segment versus how much you're anticipating the mainline margins to maybe be below what they normally are, as you ramp on some of these larger projects. And due to the uncertainty of permitting and timing and the carrying cost of your people and equipment in that mainline segment, can you just better help us understand how come we're seeing so much of a margin drag there?
James F. O'Neil - Chief Executive Officer and President: That's a good question. And because we don't have the level of gathering work going on at this point in time in the Canadian pipelines that we typically would see the level – I mean, we are building some pipeline in Canada right now, but the level of activity isn't – what it has been in the past – we're not at a ramp level now on mainline. So, the first half of the year will be a drag on margins. When we do have a full complement of mainline going in the second quarter or, particularly, in the third quarter, we should see us moving into that 9% to 12% range, if we execute. But for the full-year, we expect it to be a drag, primarily, because of the lack of gathering work that we've done over the last several years. And also, we've got about 15% of our business that has been impacted directly by oil prices where we have operations that will be generating – we expect them to generate positive margins, but certainly nowhere near that 9% to 12% range. And the area is impacted by oil and gas. So, when you look at the entire segment and the dynamics that are occurring today, we feel like it will be challenging to be in that 9% range. But that is our expectation long-term, and we're going to continue to make adjustments and certainly if mainline takes off like we expect in the next several years, we do think it's possible to get into that range at some point in time. But this year is going to be challenging.
Matt Duncan - Stephens, Inc.: Yeah. Thanks for the color, Jim. That helps.
James F. O'Neil - Chief Executive Officer and President: Yeah.
Operator: Right. Ladies and gentlemen, please limit yourself to one question and one follow-up. The next question will come from (sic) Noelle Dilts, Stifel, Nicolaus. Please go ahead.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Hi. Thanks. Good morning.
James F. O'Neil - Chief Executive Officer and President: Good morning, Noelle.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Good morning. You talked about moving into adjacent markets and taking advantage of the turmoil in the markets to some extent. Just want to understand, is this a meaningful shift in your acquisition strategy? That's one question. Are you looking at staying within these energy-focused industries or do you look to move outside of that? Just give us a feel for what you're thinking and then also maybe touch on, if you're still looking at smaller bolt-on acquisitions or would maybe look at doing something larger?
James F. O'Neil - Chief Executive Officer and President: Right now, our strategy is to do the bolt-ons in adjacent markets in our energy segments. That's what we've been focused on the last couple of years, building, for example, our engineering and material management capabilities in the both Oil and Gas and in the Electric segments. We've moved into areas like storage, made a small bolt-on acquisition in the storage space. So, those are more adjacencies to help expand our customer solutions across the spectrum of what we can do. We're concentrating on our base business and execution right now. That's the most important thing. And then certainly, we've done some bolt-on acquisitions in the last couple of years. I expect that to continue. But, I wouldn't count out doing – and again this is not our focus right now, but we do continue to look at opportunities in other areas, if that makes sense. And we're not going to make any big bad acquisition that's not my intent, but certainly if there's opportunities to move into other areas, we will. For example, in Latin America, we've been focused on expanding our telecom operations. And we should do about $300 million there this year. And so, that's an important growth opportunity for us and that's an example of branching out into new areas.
Operator: And we'll now take the next question from William Bremer from Maxim Group. Please go ahead.
William Bremer - Maxim Group LLC: Good morning, gentlemen.
James F. O'Neil - Chief Executive Officer and President: Morning, Bill.
Derrick A. Jensen - Chief Financial Officer: Morning, Bill.
William Bremer - Maxim Group LLC: Hey, Jim, can you give us maybe an update on what you're seeing on the downstream market? You touched upon midstream, what do you see in there in downstream? And secondly one for you Derrick, you called out $3 million to $4 million of restructuring for the first quarter, what's the game plan for full 2016? And how do you right-size, I guess, Quanta overall here as, if we stay in this stagnantation type of level for quite some time now?
James F. O'Neil - Chief Executive Officer and President: Yeah, I'll go first. I mean the downstream market right now is extremely bullish – we're extremely bullish on them. I mean we've been green-fielding operations in the Houston ship channel and the refinery and petro-chem area and that business has been growing nicely for us. It's not anything material to the total company, but it's certainly a nice growth area for us. And the business is going very strong right now. Obviously, with the refineries many of them operating at peak capacity and having expansion plans and at a very minimum, they are refurbishing and upgrading their existing facilities. So, we're doing really well there and we continue to see that as a growth area for us.
Derrick A. Jensen - Chief Financial Officer: Relative to the cost, I mean, our efforts to right size costs are generally continuous, and so you rarely see us come through and have an aggregate restructuring type item. We've called that out relative to the first quarter. Not having any other forecast of other restructuring through the end of the year, doesn't mean that we're not trying to look at it from addressing those costs, but we're not looking at as it stands here today as having something that is a sizable overall restructuring. We still are positioning ourselves relative to our multiyear outlook. We have a number of initiatives that's going on, in our mind that are to support the long-term growth of the company. And from a timing perspective, as it stands, as Jim mentioned, from what we see relative to the contributions of mainline in the third quarter and fourth quarter as well as the potential dynamics of evaluating what the market looks like in the last half of the year for a large transmission, we're still situating ourselves to support those aspects of the market as it stands today.
William Bremer - Maxim Group LLC: Okay, gentlemen. Thank you.
Operator: Okay. We'll now take the next question from Andrew Kaplowitz from (sic) Citigroup. Please go ahead.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Hi. Good morning, guys.
James F. O'Neil - Chief Executive Officer and President: Morning.
Derrick A. Jensen - Chief Financial Officer: Morning.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Jim, you've talked about the expectation for low-teens to mid-teens revenue growth in 2015 in the Oil and Gas business. And while your total Oil and Gas backlog is still up in double-digit nicely, your 12-month backlog given. So, could you talk about your conviction in this kind of growth in 2016? And how dependent is your revenue forecast I mean on projects that aren't booked yet?
James F. O'Neil - Chief Executive Officer and President: We had a hard time with the caller here. It's breaking up. I think the question was my conviction on Oil and Gas segment in the backlog and I would – go ahead, I can hear you better now. Please repeat the question.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Okay. It's very simply that how dependent is your revenue forecast in Oil and Gas based on mainline projects that aren't in backlog yet?
James F. O'Neil - Chief Executive Officer and President: We've got – in our forecast on mainline, I would say, that with the projects that we have at backlog at year-end, plus the projects that I mentioned that we have either signed or that we are negotiating – in the final stages of negotiating right now, that that would be the midpoint of our guidance and we have put some hedge in there for some project slippage as well.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Okay. That's helpful.
James F. O'Neil - Chief Executive Officer and President: If that was your question?
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Yeah, that was the question. And so, let me just ask you about the pricing environment, especially in Canada. One of the concerns we have is that, even the competitive environment has been leading to contractors bidding on projects with less favorable terms. How, Jim, is that a concern, again, especially in Canada right now?
James F. O'Neil - Chief Executive Officer and President: Yeah. I would say that on the – the pipeline side right now, nothing has changed if anything, it's a better environment for us, because we are still in the strategic alliances that are more risk sharing agreements that are longer-term, where the customer is wanting us to meet their resource needs over a multi-year period. And that tends to be a more teaming type approach on the contracts and not a bid and buy situation at year-end when it's a one-off project. So, I would say, there's been no change in the overall approach to contract and all the risks that we're willing to take in this environment, even in Canada, because there's so much pipeline work to be built going forward.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): And the same, electric transmission, Jim?
James F. O'Neil - Chief Executive Officer and President: Electric transmission, I would say, there's – yeah, I mean, it's more challenging in Canada right now, because there's fewer projects out there. So, it just is a more challenging environment. Canada is a challenge right now, but we do think that it will recover, but it's going to be a difficult 2016 in Canada.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Thank you.
Operator: We'll now take our next question from John Rogers from D.A. Davidson. Please go ahead.
John Bergstrom Rogers - D.A. Davidson & Co.: Hi. Good morning.
James F. O'Neil - Chief Executive Officer and President: Morning, John.
Derrick A. Jensen - Chief Financial Officer: Morning, John.
John Bergstrom Rogers - D.A. Davidson & Co.: Good morning. Jim, just back on the pipeline business for a second, the improvement that you're expecting, both in bookings and margins into the second half, how much oil work is in those assumptions, or is it all gas? And give us a little color there.
James F. O'Neil - Chief Executive Officer and President: It's not all gas, but it certainly predominantly gas. And most of it frankly is moving gas in the Midwest and Northeast markets and in Eastern Canada. And we're also in the – we're along the eastern seaboard, in general. So, not to say, there's projects in the Southeast as well. So, it's mostly natural gas, I would say probably two-thirds to maybe three-quarters. I think that would probably the breakdown.
John Bergstrom Rogers - D.A. Davidson & Co.: Okay. And the – I mean, there's a lot of reports about a number of these big projects going forward. But, we haven't yet seen a lot of contract awards, but we're seeing schedules that they're expected to start up by May, June of this year. When do these projects have to go into contract to meet those schedules?
James F. O'Neil - Chief Executive Officer and President: Well, I mean, when the projects can move quickly to construction once contracts are signed. Projects can move quickly to construction once contracts are signed. And I don't think you're going to get a lot of pre-notification. It's just, I think – I mean, I just don't think there's going to be a lot of talk about what projects we're looking at and what the opportunity is, until we actually sign a contract and move to construction. So, it's not unusual, I've been hearing about a lot of projects moving, but you don't hear a lot from contractors about those projects until they move to construction. That's the approach we're going to take. But, certainly there are several projects that we are working on, that we've been awarded, that we plan on moving to construction on in the second quarter and third quarter, in particular.
John Bergstrom Rogers - D.A. Davidson & Co.: Okay. Great. Thank you.
Operator: We'll now take the next question from Jeff Volshteyn from JPMorgan. Please go ahead.
Sangita Jain - JPMorgan Securities LLC: This is Sangita for Jeff. My question is about the Gulf of Mexico impairment charge that you took in the fourth quarter. Can you tell us, if you would need to take another charge in 2016, let's say, if oil prices stayed at $30? And also about your Alaska power project, if you think you booked most of the loss that you need to or can we see more of it in 2016? Thanks.
James F. O'Neil - Chief Executive Officer and President: I'll tell you that when we looked at our forecast in the area – for the companies in the areas that are impacted by oil and gas. At our midpoint, we took oil prices that are in the current environment, we didn't take the models from any of these third-party firms, let's say, oil is going to be at $40 by the end of the year. So, we're saying our base case is, this current environment extended. So, I hope we don't have to take – I think we're hopefully done with the impairments, because we feel like we're right sized in our forecast or geared toward the current environment that we live in today extended over a longer period of time. And then the second question?
Derrick A. Jensen - Chief Financial Officer: Yeah, relative to the MLP, I'll add just a bit of color also to Jim's comment that is, when we evaluated our impairments, we didn't look at it as a base case; but at the same time, we looked at various scenarios including low cases and we waited those things accordingly to ensure that we had adequately taken into consideration potential volatility in this space. And then as well as relative to MLP, we have gone through and like we do at every period when it comes to looking at revenue recognition and try to go through and look at what our estimates to complete are based upon what we believe is the probable outcome. And so, as we sit here today, we have gone through and done a bottoms-up approach; and from that end, we believe that as we sit here that we have booked everything, it was a probable loss on that project as of year-end.
James F. O'Neil - Chief Executive Officer and President: A little more color on MLP, I mean if there was some unforeseen conditions that required some engineering and scope changes, and we do feel that we have a good case to pursue, we are covered for a significant amount of that. Certainly, the most important thing right now is to get that project completed and it's scheduled to complete in the second quarter of this year.
Sangita Jain - JPMorgan Securities LLC: Okay. That's great. Can I ask a follow-up on free cash flow and your potential use for that? If you plan, if you have a share buyback program beyond your ASR for the rest of the year, or if you plan to hold on to your free cash flow for acquisitions?
Derrick A. Jensen - Chief Financial Officer: Yeah, actually, we have a fairly limited amount available under our current program based upon stock repurchases we made for 2015, we only have about $50 million remaining under our current program. If we were to pursue anything relative to additional repurchases, we will need to have further board authorization which we do not have as we stand here today. When we look at free cash flow for 2016, I do expect to have a fair amount of draws of working capital to support the growth as we go into the second quarter and third quarter that Jim has spoken to. So, I actually would tell you that I would expect to have a very limited free cash flow into the first portion of this year and it all basically dependent upon how the fourth quarter goes from seasonality, because again, most of it would be there to support the overall growth.
Sangita Jain - JPMorgan Securities LLC: That's great. Thank you.
Operator: We'll now take our next question from Jamie Cook from Credit Suisse. Please go ahead.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Hi. Good morning. I guess a couple questions. One, I guess, I'm still trying to reconcile the margin guidance for E&P for 2016 versus 2015. If you take out the noise that you had in 2015 and assume a more normalized margin, 2016 I guess, just seems late to me. So, can you just help me understand what you're assuming in terms of large transmission mix in 2016 versus 2015, or is it more competitive pressures? And then, I guess, the follow-up would be, Derrick, I think or Jim, last quarter you guys talked about, if you didn't see business picking up, you could take a – you would be a little more assertive on the cost cutting front; and in a sub-optimal topline market, you could sort of get to the 10% margin, what would you need to see to be more aggressive on the cost cutting side to improve margins? Like if those large transmission projects don't pick up in the back half of the year like you are expecting, should we expect restructuring? And at what point would you take those projects out of backlog?
James F. O'Neil - Chief Executive Officer and President: Jamie, that's a good question. And we will continue, we have and we'll continue to make adjustments. And yeah, I mean, if transmission doesn't materialize in the second half, we expect margins to continue over time to get back to the 10% range. I mean Canada is a big issue right now. Canada is challenged. We do have less big projects going on right now, especially compared to the first half of last year. And in the mix of smaller projects, the larger projects are certainly back to levels that we had in 2010. With that said, we have significant amount of transmission in backlog that we will need to execute on in 2017. We have to maintain some of our core capabilities and not be shortsighted. We've got that large project, the (67:15) project that we've got to execute on, the concession move we won in Alberta; and again, we're very early still on the (67:26) and we expect other awards to come out that will be sizable in the coming years. And so, I don't want to be shortsighted and cut all of our capabilities, but we do have a sense of urgency to return margins to historical levels. And we'll continue to make necessary adjustments, we have, and we'll continue to make necessary adjustments to improve margins over time.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks. I'll get back in queue.
James F. O'Neil - Chief Executive Officer and President: Thank you.
Operator: We'll now take the following question from Vishal Shah from Deutsche Bank. Please go ahead.
Chad Dillard - Deutsche Bank Securities, Inc.: Hi. This is Chad Dillard on for Vishal.
James F. O'Neil - Chief Executive Officer and President: Good morning.
Chad Dillard - Deutsche Bank Securities, Inc.: Good morning. So, if I take your 12 months backlog and compare it to the midpoint where you've got to get about $2.5 billion that needs to be booked. So, I was just curious to get your sense on like what sort of – like when would you need to actually book these projects to hit your guidance?
James F. O'Neil - Chief Executive Officer and President: Well, I mean, I don't think there's any one answer to that. I mean I think we book backlog every day. And we've taken that into account when we evaluate our own committed business and everything that we do. The day-to-day book and burn work and the large spot project environment. I think one of the key things that I mentioned today is that on your more volatile projects, where backlog is – you have the less visibility on backlog or your larger projects and we've assumed very little uncommitted electric transmission large projects at the midpoint of our guidance and we're comfortable that we have on the mainline guidance at the midpoint that we have the work booked or either in 12-month backlog, recently booked in the first quarter or that we're in final negotiations on projects and that's your midpoint. And so, I think the other work is really book and burn work in areas of our business that have been accelerating over the last several years and we don't expect any change in the sub-transmission business or electric distribution and our LDC business. All of that, it equates to probably half of our consolidated revenues and that businesses continues to accelerate and that's your day-to-day work that you probably have less committed, but you book that every day and that momentum continues as well.
Chad Dillard - Deutsche Bank Securities, Inc.: Got it. And how should we think about operating cash flow in 2016? Can you just talk about what contributions from working capital you do expect as well as any advanced payments that we should be aware of?
Derrick A. Jensen - Chief Financial Officer: Yeah, my earlier commentary I think was that based upon the fact that we do have such a seasonable ramp; we do think we'll have the draw of capital out of the business to support that growth. I think that you'll see the levels of debt continuing to increase on average balances between the first quarter into the second quarter, and into the third quarter, as we set up to fund the working capital that would be required to maintain that growth. Fourth quarter is going to be highly dependent. I mean, it's normal seasonality that sets the fourth quarter would roll down some and would, therefore, be a strong cash flow period much like you saw in the fourth quarter of this year. But the timing of when that can happen is very difficult to predict. I do believe that ultimately we'll have free cash flow, but I think you'll see most of it being very backend loaded and highly seasonality dependent.
Chad Dillard - Deutsche Bank Securities, Inc.: Okay. Thank you.
Operator: We'll now take the last question from Justin Hauke from Robert W. Baird. Please go ahead.
Justin P. Hauke - Robert W. Baird & Co., Inc. (Broker): Yeah. Thanks for squeezing me in here. I guess, the parting question would be – the commentary on oil and gas, I mean, we've talked a lot about 2016. It sounds like the guidance is mostly supported by the backlog you already have plus the bookings in the first quarter. I guess, I'm thinking, longer-term, as we look into 2017, I mean, how dependent is growth in that business on production levels? And the reason why I ask is, we see a lot of reports that show at the current production levels that there is not a lot of need for incremental pipeline in most of the shales, and we've got natural gas storage kind of at-capacity here. So, I mean, is that a business that can continue to grow after 2016?
James F. O'Neil - Chief Executive Officer and President: Yes. I mean, I think, we will continue to book backlog. The takeaway capacity is needed, whether it's oil or natural gas. There's some markets that you hear that they don't need pipeline, I can certainly understand that in some of your liquid play shales. But we have customers that have a need to move liquids out of regions to either refining centers or load centers. And in this environment, it actually reduces the cost, because they cannot move enough product by pipe, it's stranded, they're having to move it by rail, and rail looks really costly right now in this environment. So, both liquid – there's a need for liquid and natural gas takeaway capacity and you will continue to see backlog grow in those areas.
Justin P. Hauke - Robert W. Baird & Co., Inc. (Broker): So, I guess the takeaway is, even if we see aggregate production levels come down, pipeline capacity can still grow?
James F. O'Neil - Chief Executive Officer and President: In certain regions you'll see pipeline capacity grow...
Justin P. Hauke - Robert W. Baird & Co., Inc. (Broker): Thank you.
James F. O'Neil - Chief Executive Officer and President: ...or the needs for pipeline capacity, right from the Canadian oil sands, there is a desperate need to build takeaway capacity by our customers.
James F. O'Neil - Chief Executive Officer and President: All right. Well, thank you. I'd like to thank you all for participating in our fourth quarter 2015 conference call. We appreciate your questions and your ongoing interest in Quanta Services. Thank you. And this concludes our call for today.
Operator: Ladies and gentlemen, this concludes our conference call for today. Thank you.